Operator: Good day ladies and gentlemen and welcome to the fiscal first quarter 2017 call. All lines have been placed on a listen-only mode and the floor will be open for your questions and comments following the presentation. [Operator Instructions]. At this time, it is my pleasure to turn the floor over to your host, Brian Harvey. Sir, the floor is yours.
Brian Harvey: Thank you Mike and good afternoon everyone and welcome to LRAD Corporation's fiscal first quarter of 2017 financial results conference call. I am Brian Harvey, Director of Investor Relations for LRAD. On the call with me this afternoon are Kathy McDermott, LRAD's Chief Financial Officer and LRAD's Chief Executive Officer, Richard Danforth. In just a moment, Ms. McDermott will open today's call with a recap of our fiscal first quarter 2017 financial results. Mr. Danforth will then provide an update on our business. Afterward, we will open the call to questions. But before I turn the call over to Kathy, I would like to take this opportunity to remind you that during the course of this call, management will make forward-looking statements. Other than statements as to historical facts, statements made during this call that are forward-looking statements are based on our current expectations. During this call, we may discuss the company's plans, expectations, outlook or forecasts for future performance. These forward-looking statements are subject to risks and uncertainties and actual results could differ materially from the views expressed today. For more information regarding potential risks and uncertainties, see the Risk Factor section of the company's Form 10-K for the fiscal year-ended September 30, 2016. LRAD Corporation disclaims any intent or obligation to update those forward-looking statements, except as otherwise specifically stated. I would now like to turn the call over to LRAD CFO, Kathy McDermott. Kathy?
Kathy McDermott: Thanks Brian. Good afternoon everyone and thanks for joining us today. Our revenues for the quarter were $2.9 million, about 5% higher than $2.8 million reported in the first fiscal quarter of 2016. Revenues in our first fiscal quarter tend to be lower than other quarters which we have seen again at the start of our fiscal 2017. However, fiscal Q1 has some very positive indicators for the year. As we have previously discussed, our product development team has expanded and is continuing to expand our product offerings for our mass notification market, including our recently launched LRAD 360XL-MID, which is a mid-sized mass notification product using our high output XL driver as well as new accessories, software and interfaces to round out the product line. This is resulting in a number of successes in our first quarter, including a significant increase in our mass notification revenues compared to Q1 2016 and we received a number of large mass notification orders in the first quarter that Rich would talk a bit about. We also launched our LRAD 950RXL and LRAD 1950XL products, which also utilize our new XL driver technology. These products are quickly becoming very popular with our current and potential customers given their high output in a smaller form factor. In addition to the strong mass notification revenues, we delivered a follow-on infrastructure protection order for a utility company and shipped a couple of orders for the U.S. Navy during the quarter. Our quarters will continue to be uneven due to the timing of approvals or budgets. Gross profit for the quarter ended December 31, 2016 was $1.2 million or 41.6% of net revenues, compared to $1.3 million or 46% of net revenues for the first quarter of the prior year. The decrease was primarily due to unfavorable product mix, partially offset by increased volume. Our operating expenses for the first fiscal quarter increased by 26% from $2 million in the first fiscal quarter of 2016 to $2.6 million in the first fiscal quarter of 2017. The increase was primarily due to an increase in non-cash share-based compensation expense for a one-time modification of stock options in accordance with separation agreement and general release related to the 2016 departure of the company's prior CEO and a bonus accrual, based on the company's expectations for meeting current year financial goals. The company reported a net loss of $813,000 of $0.03 per share for the first fiscal quarter compared to a net loss of $380,000 or $0.01 per share for the first fiscal quarter of the prior year. The reduction was primarily due to the reduction in gross margin and increase in operating expenses, partially offset by a favorable income tax benefit. Our balance sheet remains strong with cash and cash equivalents as of December 31, 2016 of $15 million compared to $13.5 million at September 30, 2016. The $1.9 million increase was primarily due to the collection of accounts receivable and increased accounts payable, partially offset by the net loss after adjusting for non-cash items and an increase in inventory based on our fiscal Q2 forecast. Our working capital was $22.6 million at December 31, 2016, compared to $23.1 million at September 30, 2016. And with that, I will turn it back to Brian.
Brian Harvey: Thank you Kathy. I will now turn the call over to LRAD CEO, Richard Danforth, so he can provide additional color on LRAD business. Richard?
Richard Danforth: Good afternoon everybody. For the first fiscal quarter 2017, we delivered strong bookings of $5.2 million. That's about 44% increase over the same period last year. To make sure everybody is clear, a booking is a commitment through a purchase order or a contract to buy products or services. Of note, our mass notification bookings were up approximately $2.2 million, almost five times over the same period last year. Revenue was up 5% over the prior year with mass notification revenues being up over 150%. Operating income was down as compared to last year's first quarter for the reasons Kathy mentioned. However, it was consistent with our expectations for the quarter. Operating cash was very positive at $1.4 million, up over $1.8 million from the same period last year. We received several large mass notification orders in the first quarter, including a $1.3 million mass notification system for a large oil and gas company in Eurasia, a large system for a major U.S. maritime port installation and integration that utilizes LRAD hardware and it's command and control software, a mass notification system and accessories for a National Guard state headquarters and several follow-on orders for a tsunami warning installations in Japan. Our first quarter mass notification bookings have already surpassed total fiscal year 2016 mass notification bookings and more orders are expected. During the quarter, we submitted 12 mass notification proposals, a 71% increase over fiscal 2016 first quarter. In our directional product line, orders received from U.S. law enforcement were strong, ahead of last year and we received significant orders from the U.S. Navy and Marine Corps. We also received an order for the second phase with the three phase critical infrastructure protection project for a utility company in Florida. With respect to our U.S. Army customer, the FY 2017 Defense Appropriation Bill has not yet passed. The DOD continues to operate under a continuing resolution that expires at the end of April. When the FY 2017 Appropriations Bill is approved, our Army customer is prepared to move quickly to place a meaningful order against our program of record. We are also expecting a new Army RFP for a multiyear procurement sometime this spring. After several years of declining defense budgets, U.S. defense spending is expected to increase. With regard to Homeland Security, we have hired senior federal grant and border security consultants in preparation of anticipated budget increases for law enforcement, defense and border and homeland security. We are acutely aware of the new administration's plan to expand the existing wall along the southern border. While there is little detail about the wall, we believe that LRAD's remotely activated systems can add the significant capabilities to the wall and border electronic surveillance systems. We are in active discussions with prime vendors, DHS leadership and the relevant congressional committees to get our technology into DHS border plan. We are actively engaged with CBP's senior leadership on prospective LRAD procurement and recently completed two successful sixty-day operational demos with the border patrol. International business across our product lines are improving particularly in China and Japan. For the entire Asia-Pacific region, we expect 2017 bookings to be 40% to 50% higher than last year. With the recent hiring of new reps and resellers in Europe and the Middle East, we are starting to see renewed interest and orders. We continue to develop and introduce new products utilizing our XL driver technology, which generates nearly twice the audio output as compared to our legacy drivers. We are also expanding our mass notification offerings to include new products, accessories and options that we believe will give LRAD an even greater competitive advantage in the large and growing worldwide mass notification market. We anticipate increasing domestic and international revenues from our defense, law enforcement, border security and mass notification business segments due to rising global tensions and growing interest in our long range clear voice communication capabilities. Bookings across all our product lines are up for a strong start in fiscal 2017 and we believe they will remain that way throughout the fiscal year. And that's it. I will turn it back.
Brian Harvey: Thank you Richard. Mike, we would now like to open the conference call to questions. And we encourage callers with questions to queue up with the operator as soon as possible so that there will be minimal lag time between each caller. Mike, would you please instruct the callers on how to queue up with their questions?
Operator: [Operator Instructions]. Our first question comes from Robert Stone. Please state your question.
Robert Stone: Hello. I am wondering if you could discuss any vulnerability we might have if we get into any kind of a trade war with China that we may not be a big enough company for them to worry about or to want to take revenge on, but I would like to know if you thought about that?
Richard Danforth: Robert, our sales in China, although growing, is still relatively small. So if we got into a large trade quarter that prohibited commercial sales to China, I don't think it would make a substantial impact on our financials.
Robert Stone: Good.
Operator: [Operator Instructions]. Our next question comes from Dave [indiscernible]. Please state your question.
Unidentified Analyst: Yes. Thanks for taking my call. In the last conference call, you said that fiscal 2017 was off to a strong start. And looking at the revenues and net loss, do you consider the first quarter a strong quarter?
Richard Danforth: I do. Our first quarter in 2017, we booked $5.3 million and that's the best we had indicated we for our revenues. Our backlog coming into 2017 was small. Our bookings were good. We generated a tremendous amount of cash. So yes, I think on balance with the bookings and the cash, it was good, yes.
Unidentified Analyst: Okay. 5% increase in revenue is a strong start.
Richard Danforth: Q1 is typically the smallest of our quarters and $2.9 million met our expectations.
Unidentified Analyst: And that's defined as strong?
Richard Danforth: As I said, I would characterized strong in terms of bookings and cash.
Unidentified Analyst: Okay. I will that keep in mind next time. Thank you.
Operator: And there appear to be no further questions at this time.
Brian Harvey: Okay. If there are no further questions, we would like to thank everyone for participating in today's conference call. A replay will be available approximately four hours through the same link that was issued on our January 26 press release. Thank you very much for participating.
Operator: Thank you. This does conclude today's call. We thank you for your participation. You may disconnect your lines at this time and have a great day.